Operator: Good afternoon, and welcome to the LightPath Technologies Fiscal 2017 Third Quarter Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note, this event is being recorded. I would now like to turn the conference over to Dorothy Cipolla, CFO. Please go ahead.
Dorothy Cipolla: Thank you, and good afternoon. Welcome to LightPath Technologies' fiscal 2017 third quarter financial results conference call. Our financial results press release was issued after the market closed today and posted on our corporate Web site. Today's conference call will be hosted by Mr. Jim Gaynor, President and Chief Executive Officer. Following management's discussion, there will be a formal Q&A session open to participants on the call. Before we get started, I would like to remind you that during the course of this conference call, we will be making a number of forward-looking statements that are based on our current expectations and involve various risks and uncertainties that are discussed in our periodic SEC filings. Although we believe that the assumptions underlying these statements are reasonable, any of them can prove to be inaccurate and there can be no assurance that the results will be realized. In addition, we will also be making a reference to certain non-generally accepted accounting principles or non-GAAP measures, for which you should refer to the appropriate disclaimers and reconciliations in our SEC filings and press releases. With that out of the way, it's now my pleasure to introduce Mr. Jim Gaynor, President and CEO of LightPath.
Jim Gaynor: Thank you, Dorothy, and welcome to everyone who has joined us on the call today. We appreciate your interest in LightPath. I will open with an overview of operational results, highlight some recent developments, and then will turn the call over to Dorothy for a more in-depth review of our financials. Following that, we will open the call to your questions. The financial and operational results for our third quarter of fiscal 2017 clearly demonstrate LightPath is indeed a growth company with impressive execution of organic as well as exquisite strategy. More encouraging is that we are setting the stage for continued progress that will benefit from our operating leverage as we track towards accelerating growth in revenues and profitability. Now, please bear in mind that the quarter comparisons refer back to a period that did not include the ISP acquisition. Our financial results for the third quarter of 2017 reflect successful implementation of our strategies with revenue up 106%, consolidated gross margins strong at 50%, operating income up 500% to $1.3 million, and adjusted EBIDTA margin at 24% or $2 million for an improvement of 333%. Our core business, meaning LightPath without ISP grew 20% in the quarter; continued strong performance. ISP grew 22% better than expected performance, in light of all the one-time and new items such as non-cash warranty liability valuation, new costs for goodwill, and acquisition costs, a true underlying performance has been better than expectation. Along with the increase in profits, we continue to invest in research and development as well in global sales and marketing initiatives in a concerted effort to drive future growth. An example of this occurred after the end of the third quarter, which I believe bears discussion and it is indicative of our strengthening global brand for innovative world-class technology, our ability to partner with diverse OEM and other supply chain participants and to be extremely well-positioned to benefit from a multitude of both cyclical and emerging economic catalyst. In April, we announced that LightPath has entered into a joint agreement for the development of optical sub-assemblies and lenses to be incorporated in various laser-based products being development for a variety of great start product. Examples of these products include the vision sensing devices, laser tools and robotic machines. Our partner in this program is Hangzhou OLE-Systems Laser Technology Company. OLE is a technology development subsidiary of GreatStar, which itself is estimated to have sales of $2 billion to $3 billion, with about $1 billion in four truck [ph] sales. GreatStar is also believed to be the number one hand tool maker in Asia and number two in the world. As an example, GreatStar makes the cobalt brand of tools, which is sold through Lowe's home improvement stores here in the U.S. GreatStar is also a manufacturer of robots and automated equipment among other machine. In the past we have worked with GreatStar since another of its subsidiarys Hdoei was a customer of ours for laser measurement products. So there is a track record between the company, we were very pleased to now have the opportunity to partner on a development basis with OLE to design and manufacture and optical systems sub-assembly based on LightPath proprietary high power fiber laser delivery technology. The goal of our new project is to development a low cost, high quality laser diode to fiber coupling system, with multimode fiber arrangements or an optical assembly that includes a number of culminating parts, as a sub-assembly. Our contribution is based on technology LightPath developed and improved over the past 15 years and we believe that no one in the world can rival today. Products using the system to be developed by OLE and LightPath could be bought by GreatStar and use on their fork trucks and robot as well as sold to third-party. So there are two potential markets for purchases from LightPath on the robotic vehicle products. In many of the markets for our products, we are seeing new uses emerge which is driving demand and increasing market supply, for the last few years, this has been case for laser distance sensing which is integral for autonomous movement and navigation. Laser technology has been used in many construction tools but more pressing and perhaps lucrative and exciting opportunity maybe found in vehicle and robot automation. A critical obstacle however is the complexity and precision needed under our working condition, which in turn drive-up cost, therefore the quality and price of the existing products has to be improved to meet the new application requirement, OLE's laser business sensor along with LightPath unique capabilities and volume production expertise are intended to address these challenges and give birth to mainstream product, that can elevate growth for this industry. While our business surrounding these laser sensor devices is exciting it is really - it is a next generation platform for meaningful revenue, quarter's away, we take pride in this technological leadership and remain committed to not only maintaining this lead but expanding upon it. Driving future innovation, our research and development expenses in the third quarter increased $308,000 from a $165,000 in the same period last year. So we had a portfolio of existing technologies in infrared as well as invisible optics that we will continue to invest in. On the business development front, the intake of new orders remain strong, we did however a decrease in the backlog at March 31, 2017 from December 31, 2016. On occasion we take in large orders that are scheduled for shipment over a 12 or 18 months period, this can result in 12 month backlog decreasing as we fulfill and ship against these orders until that business is renewed the following year. This was particularly the case this quarter as we began fulfilling large orders placed during the second quarter of 2017, certain of ISP's customers preferred to place a large order once a year versus placing smaller orders throughout the 12 month period. The change in our backlog was as expected given the large order for ISP in Q2 that we are now shipping against and we will continue to ship through the next several quarters. The company's consolidated 12 month backlog remains healthy at approximately $11.1 million at March 31, 2017 an improvement from the $6.6 million at June 30, 2016. Overall LightPath's consolidated business continue to ramp in the third quarter of fiscal 2017 with particular strength from telecom, industrial tool and thermal product end markets, a 106% revenue growth which was partially attributable to ISP reflects our ability to diversify our product line and end market, which we believe is one of our competitive strength. The catalyst that has been driving our market remain in play, this is evident in one of our recent orders which was not included in our fiscal third quarter results for a large scale order for a precision glass optics used in optical and encoder system from a UK based world leader in metrology product. With the infrared side of our business, we are pleased to have made considerable progress that sets the stage for continued growth in a market which is larger and faster growing than that of our modeled optical lens operation. In addition to the R&D investments we have hired a new marketing and business development personnel, while adding distributors around the world, business remains robust and growing. So we are beginning to work on process improvements to further enhance our volume production and turnaround time. The integration of ISP is essentially complete, we have identified a number of areas where synergies exist within our business lines from sales and marketing to manufacturing, to international trade and time to market advantages, while experiencing rapid growth and development in our business lines and fostering our competitive position, we remain vigilant in maintaining strong fundamentals and financial condition. Total costs and expenses as a percentage of revenue continues to decline with a level of 35% reached in the third quarter of fiscal 2017 as compared to 49% in the third quarter last year, against the larger base of revenue, the higher R&D spending as a percent of sales decreased to 3.6% in fiscal 2017 third quarter from 4% in the prior year. And a key performance measure is our cash balance, which improved to $6.8 million at the end of fiscal 2017 third quarter an increase of 135% from June 30, 2016. Despite these improvements, certain of our accomplishments on a reported GAAP basis remain somewhat masked due to warrant liability that expires at the end of this year. We are really looking forward to that going away because it distorts our financial result, for the time being, the best method to observe our incredible performance is to adjust for the effect of the non-cash change in the fair value of the warrant liability. As detailed in our press release for non-GAAP and adjusted results reconciliations are addressed, the power of our performance can be seen in the following. Adjusted EBIDTA which excludes the non-cash income or expense related to the change in fair value of the company's warrant liability was $2 million in the third quarter of fiscal 2017, an increase of 333% as compared to the $469,000 in the third quarter of fiscal 2016 and adjusted net income for the quarter of fiscal 2016 which excludes the non-cash income or expense related to the change in fair value of the company's warrant liability was $849,000; also an increase of over 600% as compared to the $114,000 for the third quarter of fiscal 2016. Our impressive financial performance through the first nine months of the fiscal year is just the beginning. All of our business lines are progressing at a rapid pace and cross selling another synergies between the groups are in focus. Across the board, we are experiencing vital markets and believe we have the products and personnel to capitalize on these opportunities, with impressive fiscal 2017 third quarter financial results we are very encouraged by our future prospect. I will now turn the call over to our CFO Dorothy Cipolla to provide additional detail on our financial results for the third quarter and nine months of fiscal 2017
Dorothy Cipolla: Thank you, Jim. First, I would like to mention that much of the information we are discussing during this call is also included in the press release issued earlier today and on Form 10-Q which was also filed today. I encourage you to visit our website at lightpath.com and specifically the section titled investor relation. Before reviewing the financial performance and operation detail from our fiscal 2017 third quarter which ended on March 31. I want to remind everyone that the acquisition of ISP closed on December 21, 2016. Simultaneously with the closing of the acquisition, LightPath completed an underwritten public offering of $8 million of its Class A common stock. The company used the net proceeds from the offerings before a portion of the purchase price of the acquisition of ISP payable in cash, as well as to pay transaction expenses and other costs in connection with the acquisition. And this offering is the primary reason for the change in our outstanding share count from the end of the year. Now onto the results for the fiscal 2017 third quarter; revenue for the third quarter was $8.5 million, an increase of $4.4 million or 106% from $4.1 million last year. The increase from last year is attributable to $3.5 billion or 893% increase in revenue, generated by infrared products of $1.2 or 132% increase in sales of high volume precision molded optics or HVPMO lenses partially offset by $323,000 or 38% decrease in revenue from specialty products and a $30,000 or 17% decrease in revenues from non-recurring engineering or NRE projects. The decrease in revenues is generated by the specialty products group was due to the absence of approximately $272,000 of revenue generated last year for a final order of custom fiber collimator assembly. This specific product technology was transferred to the customer pursuant to a license agreement entered into in fiscal 2016, thus the customer is no longer placing order for fiber collimator assembly with us. Moving to our geographic revenue mix, 41% was from the U.S., 36% was from Asia, 22% was from Europe and 1% was from rest of world. Our geographic mix has been consistent at 59% international sales for the second quarter this year and last year. for our vertical markets sales review, in the third quarter we had 21% of sales from distribution and catalog, 10% from telecom and wireless, 4% from medical, 45% from industrial and 12% from government and defense sectors. Notable shifts in vertical market orientation included increased sales of over 500% to the industrial sector for infrared products sold through ISP, gross margin as a percentage of revenue was 15% for the third quarter compared to the 54% last year. The change in gross margin as a percentage of revenue reflects the change in product mix with the inclusion of ISP product for the fourth quarter. Outside of lower margin infrared product we continue to benefit from an improved mix for the balance of our business, with increased higher margin sales of HVPMO lenses, gross margin in the third quarter was $4.2 million an increase of 90% as compared to $2.2 million last year. Total costs of sales were approximately $4.3 million for the third quarter, an increase of approximately $2.4 million as compared to last year. This increase in total costs of sales is entirely due to the increase in volume, third quarter total costs and expenses grew approximately $2.9 million an increase of approximately $932,000 compared to last year. The increase is primarily due to $406,000 increase in wages, a $305,000 increase in amortization of intangibles added due to the ISP acquisition, a $131,000 increase in professional fees, a $71,000 increase in travel expenses and $45,000 increase in expenses related to the acquisition of ISP. Consistent with our growth strategy and included in total costs and expenses, we increased our research and development spending by 87% to $308,000 in the third quarter compared to a 165,000 last year. In the third quarter, we recognized non-cash expense of approximately $748,000 related to the change in the fair value of warrants issued in connection with the June 2012, private placement. In the third quarter of fiscal 2016, we recognized non-cash income of approximately $662,000 related to the change in the fair value of these warrants. The applicable accounting rule for the warrant liability requires the recognition of either non-cash expense or non-cash income which has a significant correlation to the change to the market value of our common stock for the period being reported and the assumptions on when the warrant will be exercised. The warrants have a five year life and will expire in December 2017. The fair value will be re-measured in each reporting period until the warrants are exercised or expire. Our effective tax rate was 71% for the third quarter but excluding the impact of the change in the fair value of the warrant liability and the impact of foreign translation adjustments. Our effective tax rate was 24% this is a blending of the Chinese statutory rate of 25% and the Latvian statutory rate of 15%. Net income for the third quarter was $101,000 or $0.00 per share for basic and diluted share which includes the non-cash expense of approximately $748,000 or a $0.04 per basic and diluted share impact for the change in fair value of the warrant liability as well as tax related to our Chinese and Latvian subsidiaries. This compares with net income last year of approximately $776,000 or $0.05 per basic and diluted shares, which includes the non-cash income of approximately $662,000 or $0.04 per basic and $0.03 per diluted common share for the change in the fair value of the warrant liability. Net income was negatively affected by the increase in the change of the fair value of the warrant liability as well as amortization of intangibles. Adjusted net income which is adjusted to the effect of non-cash change in the fair value of the warrant liability increased by nearly 650% to approximately $849,000 in the third quarter as compared to $114,000 last year. The company had foreign currency exchange expenses in the third quarter due to the changes in the value of the Chinese Yuan and the Euro in the amount of applications $18,000 which had no impact on basic and diluted earnings per share. This compares to foreign currency exchange income of $26,000 with no FX on income per share last year. Adjusted EBIDTA which eliminates the non-cash income or expense related to the change of the fair value of the June 2012 warrant liability was approximately $2 million in the third quarter an increase of 303% as compared with approximately $459,000 last year. The adjusted EBIDTA margin for the third quarter increased to 24% from 11% last year. We had average basic shares outstanding of 23.8 million in the third quarter compared to 15.5 million last year; this was primarily due to the issuance of shares for the acquisition of ISP and shares issued under the employee stock purchase plan, exercises of the stock option and exercises of the June 2012 warrant. I will now briefly review financial performance and operational details for the first nine months of fiscal 2017 which ended on March 31. Revenue for the first nine months was approximately $19.4 million an increase of approximately $6.8 or 54% as compared to last year. Gross margin as a percentage of revenue in the first nine months 53% compared to 55% last year. Gross profit in the first nine months was $10.4 million compared to $6.8 million last year an increase of 51%. Total cost and sales was approximately $9 million for the first nine months an increase of approximately $3.3 million compared to last year. During the first nine months total costs and expenses were approximately $7.3 million an increase of approximately $2 million compared to last year, outside of traditional operating expenses, the increase was primarily due to a $653,000 increase in expense related to acquisition of ISP. The full quarter of ISP also resulted in an increase of $305,000 for the amortization of intangible, in the first nine months, the company recognized non-cash expense of approximately $458,000 related to the change in the fair value of the warrant in the same period last year, the company recognized non-cash expenses of approximately 25,000 related to the change in these warrants. Income tax expense was approximately $772,000 in the first nine months an increase of $641,000 from last year. Although the company had net operating losses or NOLs carry forward benefits of $86 million against net income as reported on a consolidated basis in the U.S. the NOL does not apply to taxable income from foreign subsidiaries. The increase in income tax expense in fiscal 2017 was primarily attributable to the income tax associated with LightPath Chinese subsidiary and to a lesser extent income tax attributable to our subsidiary ISP Latvia. Our effective tax rate was 37% for the first nine months, during the first quarter of 2017, we determined that income tax expense was understated for fiscal 2016 by approximately $74,000 we determined that it was not material to the higher financial year statement. We also concluded that an out of pocket, out of period correction would not be material and therefore had corrected this error in the first nine months of fiscal 2017. Excluding the impact of out of period correction, the change in the fair value of the warrant liability and the impact of foreign translation adjustment, our effective tax rate was 25% for the first nine months. Net income for the first nine months was $1.3 million or $0.07 for per basic and diluted common share which includes non-cash expense of approximately $458,000 or $0.03 per basic and diluted common share. For the change in the fair value of the warrant liability, compared with net income of approximately $1.1 million or $0.07 per basic and diluted common share which includes non-cash expense of approximately $25,000 or no impact for a basic and diluted common share for the change in the fair value of the warrant liability last year. The company had foreign currency exchange expense in the first nine months due to the changes in the value of the Chinese Yuan, Euro in the amounts of approximately $254,000 which had a $0.01 impact on basic and diluted earnings per share. This compares to foreign currency exchange expense of $176,000 which had a $0.01 impact on income per share last year. Adjusted net income which is adjusted to the effective and on cash change in the fair value of the warrant was $1.08 in the first nine months as compared to $1.01 million last year. Adjusted EBIDTA which eliminates the non-cash income or expense related to the change in the warrant liability was approximately $4 million in fiscal 2017 as compared to $1.9 last year. The difference in adjusted EBIDTA between periods was principally caused by increased revenues and operating income offset by the increase in SG&A costs which included approximately $653,000 as a result of the expenses incurred related to the acquisition of ISP. Cash and cash equivalents totaled approximately $6.8 million as of March 31, 2017, a 135% increase from June 30, 2016. There was a 20% increase in cash from the end of second quarter. In each of the first three quarters of fiscal 2017, the company has had double digit increases in cash. Cash flow provided by operations was approximately $2.9 million in the first nine months compared with $1.2 million last year. During the first nine months, the company extended approximately $1.4 million for capital equipment, while growing its cash balances compared to $756,000 last year. The current ratio as of March 31 was 3.7 to 1 compared to 3.5 to 1 as of June 30, 2016. Total stockholder equity as of March 31 was approximately 22.9 million, a 109% increase compared to approximately 10.9 as of June 30, 2016. This is reflecting the common stock offered in December 2016 and cumulative net income. As of March 31, the company's 12 month backlog was 11.1 million compared to 6.6 million as of June 30, 2016 an increase of approximately 69%, this backlog includes 6.7 million for infrared product and 4.3 million for optical products. With this review of our financial highlights concluded, I will turn the call back to the operator, so we may begin with questions and answers.
Operator: We will now begin the question-and-answer session [Operator Instructions] The first question comes from Matt Koranda of ROTH Capital. Please go ahead.
Unidentified Analyst: Hey, guys this is Brad Knoss [ph] on for Matt here.
Jim Gaynor: Good morning. How are you?
Unidentified Analyst: Good. Congrats on the strong quarter. I just wanted to dig into HVPMO first here. I mean, we have seen some commentary from your customers that are in the telecom space that they recently seen a deceleration in the China Telecom build out, and they expected to continue at least for the near-term. Have you seen us through -- any of your order flow from those customers, and what are your thoughts on the near-term for the China Telecom build-out?
Jim Gaynor: Well, we haven't seen this from our customers. As a matter of fact, our customers have been increasing their business with us in that sector. The current catalyst, they have been driving the market as we look at them remain in place. So you still have the major build-out of the metro core, the data center, interconnect as the cloud continues to get bigger. And the emerging world continues to consume bandwidth. And now this has been joined by the recent addition to demand for bandwidth created by [indiscernible] propensity; people now wanting to use video and pictures as part of their texting. So, this is increasing even more demand for bandwidth. So, what we are seeing is exactly, the opposite of that. And so, I think, we see that sector continuing to be strong and as far as we can see in the future we haven't seen any signs of it slowing down, at least in terms of our business.
Unidentified Analyst: Okay. Thanks for the color on that. Just going off that could you maybe just break-out or even just directionally what you see for the growth in China specifically versus maybe what the growth opportunities are here domestically, and sort of what that the quantification of that growth maybe?
Jim Gaynor: Well, I mean, our China direct business has been continuing to grow steadily over the last five quarters. And that rate of growth that we have experienced is continuing. So I see that business continuing to grow quarter-over-quarter, and I think you know we don't see that changing at this point in time, and I think it has to do with a couple of things; one, we picked up a lot of business in the telecom sector, we are dealing with the higher-end customers in that sector, and those people seem to be maintaining their share and if not expanding it. So I see that continuing and that growth is part of our business remain strong.
Unidentified Analyst: All right, perfect. And then also on HVPMO, it looks like the unit volume were down significant amount quarter-over-quarter with the revenue still holding relatively flattish. So can you just talk to the pricing environment that you are seeing on the HVPMO and what the puts and takes are there?
Dorothy Cipolla: The HVPMO unit volumes were up. Did you mean LVPMO, Q3 to Q3?
Unidentified Analyst: Yes, maybe I thought it was -- let me see. Okay, yes, maybe I had looked at the wrong HVPMO debt on that one then, but just I guess zooming out for a moment, looking at sort of the growth in HVPMO for sort of the long run business in China, or just in general for the product, there -- what sort of growth should we think about over the next few years? Do you think that this high rate can continue for over that longer period of time, or do you see more of a general ramp down in growth as the build out starts to materialize there?
Jim Gaynor: Well, I think, the kind of growth rates that we have been experiencing in the underlying business are ranging in that around that 20% range that we had predicted previously and we don't see a change in that at this point in time.
Unidentified Analyst: Okay, perfect. And then maybe just one more here for me, in terms of the internal Chicagoan eyeglass production that you have what - I guess how much of that internal production sort of supplies or what percent of your material supply need, does that address for your base business as well as for ISP, it does address any for ISP and what percent could you see that supply ultimately getting to from your internal production?
Jim Gaynor: Well, I think the capacity that we have there is sufficient to satisfy our internal molding requirements in the infrared sector. So we can do that, we will as business spikes or slows, that's able to adjust to that, I don't think there is a problem with that. So we will maintain multiple sources for that, so the capacity that we have installed is basically sufficient to satisfy the business from that standpoint, that Chicagoan product at this point in time is mostly, almost exclusively used for our molded products, ISP obviously is using other material system, that doesn't say that as we go forward, Chicagoan which is possible to be fabricated using turning techniques won't fit into that scheme of things as we go forward and I believe there is a growth opportunity there as well. So, currently, we haven't - we're not doing very much of that at all.
Unidentified Analyst: Okay. And then just on top of that real quickly here; the -- should we see sort of a margin impact from you, doing that internally and sort of what, how should we think about that margin benefit, if there is one?
Jim Gaynor: Well, I think there is a couple of -- the reason that we did it was to have a guaranteed source of supply and a consistent material quality that is tuned for our particular process and it provides that, obviously you save the margin when you are using that material, in house material versus what you are paying to an outside vendor. So there is that advantage, so it has the advantage of cost savings as well as, it can contribute although it's hard to figure out what the current contribution is of some yield improvement, because of the consistency of the material that's specifically tuned to our process.
Unidentified Analyst: Okay perfect, thanks for all the color there. And I will step back in queue.
Operator: The next question comes from Joel [indiscernible] and Company. Please go ahead.
Unidentified Analyst: Hi, thank you. First question actually is on the vertical market breakout, I added those numbers up to 92 unless I heard wrong 92%. So can you review those for me, please?
Dorothy Cipolla: Right. For the third quarter, distribution income was 21%, defense and government was 12%, industrial was 45%, medical was 4%, telecom and wireless is 10% and then laser, thermal and instruments was 8%
Unidentified Analyst: So that's the one, I missed the last one. Okay, so it looks like the distribution or the telecom was actually down a little bit sequentially, I am wondering how much of the distribution catalog business actually goes to telecom is that maybe it wasn't there.
Dorothy Cipolla: Well, I think one of the reasons that is slowing down, now we are adding a full quarter of ISP, so it's off a different base.
Unidentified Analyst: No, I am sorry absolute numbers if you just do the math right.
Jim Gaynor: There is -- Joel, there is a portion that does run through distribution and we are looking at how we are going to break that out going forward, but we do have some rather large telecom customers that in Asia that run through a distributor and that business has always been accounted in that distribution portion.
Unidentified Analyst: Okay, it would be helpful, if you could break it out, the true color of what's happening in the telecom side of course, but obviously some broad based strength as you mentioned in the various markets in telecom, industrial tool and thermal products, I wonder if you could give us any key applications that you are seeing the strength in?
Jim Gaynor: Well, I think on the industrial tool business that's a real awakening in China. The construction business that goes on there, I think last quarter we talked about some of the drivers of that business. One of the big ones being the investment that the Chinese government is making in there, transport infrastructure and in particular that means they are expanding their high speed rail line which is a big, big deal and the kind of doubling size of that from four main lines to eight and so that drives a lot of construction business. So I think that's probably driving the real awakening that we see in the industrial tool strong and the growth there. The telecom side is all the things that I have previously mentioned is just continuing and we are dealing with the premier equipment builders around the world. So our business is remaining strong as a result of that.
Unidentified Analyst: Right, and how about on the thermal products?
Jim Gaynor: On the thermal side, I think most of that advances really due to you know just the full impact of ISP for the quarter, as opposed to - last year it was like 10 days. So I think that's really what we see driving that market. Now having said that, the ISP business was a little bit stronger from a historical perspective on a growth rate this quarter than they have been previously, so we are seeing some of that and I think that maybe the result of the we have some very large annual type contracts that were booked earlier in the year, that we are now shipping. So that has an effect, positive effect on that revenue number.
Unidentified Analyst: So given that do you, would you expect ISP's revenue to continue at levels from Q3 in the following quarter.
Jim Gaynor: Well, I think we expect that we will be able to maintain current levels of business from ISP, yes.
Unidentified Analyst: And your core business seems to be still growing, so that's.
Jim Gaynor: Yes, like I said, our core business is growing in that 20% plus range and ISP, in this particular quarter grew 22% which is a little higher than there has been. So I think, we are seeing that strength and I think that's partially due to the - these large order now moving into full production, we were ramping them up in the previous quarter and now we are kind of hitting full stride.
Unidentified Analyst: You made an interesting comment in the press release about the consumer electronics OEMs are you selling directly to any of those today.
Jim Gaynor: No, we are not, I mean that's just a market driver, I think at this point and there is - there could be some opportunity as we go forward into some end product type stuff, but.
Unidentified Analyst: Okay. That's all right, I kind of - when I read it, I may be read it like there was an opportunity there. But I understand.
Jim Gaynor: You keep looking for.
Unidentified Analyst: Okay, that's good. And then one more time could you give me the backlog number between the two segments, IR and optics.
Dorothy Cipolla: Yes, so out of the 11.1 million, 6.7 is for infrared and 4.3 is for optical products.
Unidentified Analyst: Okay. Thank you. That's all I had.
Jim Gaynor: All right. Thanks, Joel.
Operator: The next question comes from Gene Inger of Ingerlettter.com. Please go ahead.
Gene Inger: Hi, Dorothy and Jim. I hope you can hear me, I am actually mobile and I could understand almost everything except some of the Dorothy's discussion about the warrant. In any event, first of all, congrats it looks like you guys have done a great job of transforming the company over the years and specially navigating the integration of ISP. Dorothy perhaps the question is for you, the summary of the warrant situation that once that is weight -- as Jim calls it, is lifted is that going to help enhance shareholder value down the road?
Dorothy Cipolla: So we are taking the position that is really kind of a non-cash, our value is still there and this is kind of masking it, so that's why we are seeing some industrial numbers without it.
Jim Gaynor: Enhance shareholder value is when it's gone we won't have the confusion that to create between GAAP reporting and what the fundamentals of the company are actually doing. I mean, this is the warrant liability all revolves around accounting that is investors against the fundamental transaction which basically has a very small chance of happening and as the life of those warrants become shorter, the chance of that happening becomes less and less and less as they only add.
Gene Inger: Well, it sounds to me I guess where I am driving at obviously is weather the growth rate of the company being what it is, with the combined entities will be better reflected with perhaps a higher multiple on the shares, on your results once the warrants are out of the way.
Jim Gaynor: I think if investors look at the adjusted numbers as we present them, they get a fair picture of what company is capable of doing. So you look at the adjusted EBIDTA, the adjusted EBIDTA net income, those numbers really take that warrant liability out of the equation which is why we are talking about them. Fortunately that is non-GAAP thing, so we have to do it in concert with the GAAP reporting but real way to look at the company is to look at those non-GAAP operating fundamental.
Gene Inger: Well, obviously, what I am looking for is a trend both in growth and the evaporation of the warrant or minimization which enhance the shareholder value, obviously the most important thing for the share is you guys doing a good job of growing and running the company, which brings me to the question on, I am not sure you mean to say, when you said that ISP optics was growing at about what you would expect, a little bit better than you expected, if you extrapolate and you look forward in the years ahead, do you see new avenues of business at that end of the organization as well?
Jim Gaynor: Well I think we do opportunity there, there is capability there as we get our hands around, what that is because our channel to market, synergies that we believe exist between the company's finding the technologies of the company between molded and turn product, we think there is ways to enhance and grow that business. Now in general, the commercialization of the infrared technology is what we're counting on is what is happening. So as we can offer more efficient and lower cost alternatives in the marketplace, infrared products, we enable that commercialization that creates market of the types of application that can be imagined using infrared technology in -- so currently we are doing very well in lower cost, handheld firefighting cameras, but as the cost comes down and there are number of commercial building sensors, like whole [indiscernible] feasible, replacement of smoke detectors, a whole range of commercial type application, using infrared technology [indiscernible] barriers will allow that business grow and then the ability. So we were somewhat limited molding technology in terms of sizes of lenses and what can be molded with material system. Now with ISP, that limitation is gone, we make larger lens with all the different materials into the processes we have available to us, all the different fabrication techniques for molding, the turning, the grind and polish, all of those ways to form lenses, different materials, host efficient manufacturing methods as we have all of them available to us and because we have operating facility in Europe, North America and Asia. So we can deliver that product and produce it, close region to the customer, where we want to done, I think that's the differentiator and the reason, we think that we can build that business.
Gene Inger: Sounds good, can you elaborate just a bit on the -- for example the British contract that you signed and the Chinese contract, do you believe your facilities are adequate to ramp up or to handle any ramped orders of production in China specially as well as Orlando?
Jim Gaynor: I guess, the short answer is yes, of the -- the contract with the optical encoder company in the U.K. absolutely no problem, we can handle that with the installed capacity that we have within Orlando and in -- that works very nicely, some of the work, that we are doing with the Chinese company, this has opportunity to become very large business over time, given the fact that we are still in the very early stages of development, development standpoint, absolutely no problem with what we can deliver at this point and as that business takes off and grows the potential are very, very large, but we will be able to ramp to do that.
Gene Inger: And then finally -- thank you, last question is indirectly, I heard from one of our readers, on our Web site that one of your presentations at one point showed Apple as a customer, and yet -- and then it disappeared. I personally never saw that and I suppose Apple is very secretive about who their suppliers are, can you reflect on whether you did show them at point as a potential customer?
Jim Gaynor: Well, we have done development work for a lot of these big companies, not only Apple, but [indiscernible] and others and it's simply that, so it's nothing that I would be too excited about at this point in time other than there is always that potential that what -- they try to develop a lot of things, a lot of different people and a lot of ideas, they never go anywhere, but they are always available, talk with them whenever they want us.
Gene Inger: Of course, I'm thinking in terms of autonomous driving as I'm driving now and all these sensors let's say keeping me safe while listening to you guys.
Jim Gaynor: All right.
Gene Inger: All I would say is thank you and keep up the good job. I think you are pointing the company very much in the growth trajectory?
Jim Gaynor: Okay. Thanks very much.
Operator: The next question comes from Chris Vojasky, a Private Investor. Please go ahead
Chris Vojasky: Hello, and congratulations, again for good quarter for the combined business?
Jim Gaynor: You're welcome. Thank you.
Chris Vojasky: So most of my questions were answered, but one thing I wanted to ask is that you showed a big growth in industrial but I think that was because you combined ISP and ISP wasn't there for the previous year's quarter, can you give us what the growth areas are kind of on pro forma basis assuming that you had ISP within the company in the last year's quarter?
Jim Gaynor: I guess, I'm trying to figure out let me. The underlying business of the company core businesses growing in that 20% range that's what it grew in this quarter.
Chris Vojasky: So it's across the Board?
Jim Gaynor: I'm sorry.
Chris Vojasky: So you would say that it's across the Board?
Jim Gaynor: Well, yes I think from the core business point of view the visible optics. The telecom is a big driver of that growth. Telecom, Datacom and then the industrial tools that we do, which are all visible type products, which are involved in laser measurement things like store guides and laser levels and range finders and those kinds of devices, weapon sides, all are driving that type of business. So that business is developing and growing and it's around fire safety equipment and as we look forward we see the sensor market, autonomous vehicles could be a driver there as well as all these different sensors for things like driver awareness line spot detection, those kinds of things can be done using infrared technology as well as radar, so I think those types of things will be growing that business in the future. We really are looking at the IR business growing as the commercial applications expand and that's going to happen because the cost of these thermal imaging devices continues to come down. Those devices are coming down in cost as the sensing element come down in cost. They are coming down because there is un-cooled versions and also the standard size of the sensors is decreasing. I mean, the standard has already moved from 25 micron sensors down to around 12. So as a paper based process that cut sensor cost almost in half. So those things drive the cost down and as those sensors get smaller then they are able to use smaller optic, smaller optics fit into our molded technology, on molded infrared technology also offers a cost reduction versus traditional to medium term type product. So all of those things combine continue to drive these costs down and as they come down then the sensor business for things like as I said ATAC control or lighting control, pedestrian control, traffic signal controls all of those kinds of things become viable and the business grows. So that's what I think. I'm sorry, go ahead.
Chris Vojasky: So is the HVAC control business ramping already?
Jim Gaynor: I think that's something yet to come, but I know you know, we talk to a number of different customers and they are all working on it and so I think it's something that you will start, yes.
Chris Vojasky: Okay. And can you give us a feeling as to what the competitive environment is as all these things are ramping and optics in general are getting more popular, are you seeing more investment going into landfill servicing more competitors are you gaining market share or it's just regarding the market?
Jim Gaynor: Well, I think - if we look at the visible side historically in our type of business and in the markets that we participate, it's driven by the growth of laser tiles, which historically grows 4%, 5%. We are growing much faster than that, which is an indication that we are gaining share. So and I know you know, there are some particular examples where I know we've taken business from a couple of our competitors, so we are gaining share. We are doing that because we have invested heavily in our manufacturing technology and our cost platforms are some of the lowest in the business. So to able to do that and still make very good margins. So that's one reason that we see a driving, I mean the business -- the optic business remains very fragmented, a lot of a small companies out there as you enter into different markets, you compete against the different group of competitors and they are many. So it's a competitive business, we've tried to position our company so that we have some advantage both from cost point of view as well as innovative type work that we do from a technology point of view and also where we operate, so that we have these operating facilities in the areas closest to where the customer wants the business and that gives us a big advantage, not only from that point of view but also from the point of view of servicing the customer and being in his market.
Chris Vojasky: Okay. That's great color. And thanks for the good work and that's it from me.
Jim Gaynor: All right. Thank you very much.
Operator: [Operator Instructions] The next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Good afternoon. Congratulations on the quarter.
Jim Gaynor: Thank you.
Unidentified Analyst: First off, I just wanted to make sure I understand this. First full quarter is ISP, given the 20% growth you mentioned without ISP. I'm backing into a contribution about $3.6 million, is that correct?
Dorothy Cipolla: Yes.
Jim Gaynor: Yes, I think that's a about right.
Unidentified Analyst: Okay. And so if we pull that out of infrared, you are what I'm going to call legacy infrared, is around 300,000 which is down a little quarter-over-quarter and down very slightly year-over-year and I know these are small numbers that the infrared was a few hundred thousand a quarter. So I don't want to make much of it but is that just a timing issue, do you expect that to kind of bounce back here in the June quarter, anything going on there?
Jim Gaynor: Well, I think it's a developing. I mean, as the molded infrared business is developing business. So I think it has growth potential, you know, what we've seen is as particular projects get completed then there is some, what's the word I'm looking for?
Dorothy Cipolla: Seasonality.
Jim Gaynor: Seasonality, not really seasonality but just cycles of the business as projects come and go. So and particularly when you are dealing with small numbers that size of the business a percentage change or what they are I'm sure that's - I don't think it's anything that we are too worried about, it's from the standpoint of business looks like it has a bright future and it's growing and we will see it comeback, yes.
Unidentified Analyst: Okay. And I'm still assuming that given that the kind of low small numbers, it's probably fair to expect the highest growth rate on that business going forward?
Jim Gaynor: It's certainly an area that we expect to grow quite substantially. Yes.
Unidentified Analyst: Got it. Okay. And then, Jim you mentioned on the - in the script I think adding I'm going to mess this up, but I think you basically indicate you are adding sales reps and distributors worldwide, just for someone who is relatively new to story, can you quantify that a little bit more, can you tell us kind of how many reps you got? How many used to have? What's the delta year?
Jim Gaynor: Well, we are up. We have two sales people direct people in China. We have two in [indiscernible] we have two in New York and we have five based out of associated with our core business and some of those are based here in Orlando and some of those are based regionally primarily on the west coast and then so we speak that up, we probably added three people in that organization just on a direct sales point of view as we reduced some of the geographic size of the territory, so that we could get more customer contact. So there is 11 people and both associated in the direct sales within the corporation now. LightPath before had like five, so like I mean that kind of the addition plus where we picked up with the ISP organization. Now we have about six more people associated in inside sales and sales and marketing type activity, so that gives us about 17 total in the sales and marketing organization that are directly. And then, in addition to that we have about 15 reps around the world that we use. And so that's been - that's kind of how we have those channels to market plus we sell directly to all of the major optical catalog houses, guys like four labs and admins and hard optics, those kind of people are that's a major - those are major customers for us.
Unidentified Analyst: Got it. And the 15 reps that are on the role, did that number change much, did you increase that recent or has that been fairly bad.
Jim Gaynor: Definitely, I mean we've added. We are always trying to get the best guide, so we've added a few, we've changed a few so there is some churn there but essentially that's the kind of represent patent we have, yes.
Unidentified Analyst: Okay. And just last thing on sales here. How quickly do you start to see productivity out of new reps coming on?
Jim Gaynor: Well, I guess it depends on the area they are in. There is a certain learning curve for our product and it is a technical type sale for the most part, so it does take some time and that sometime is going to be six to nine months in doing and the other thing that we are heavily engaged in now as we consolidated the ISP sales organization and the LightPath sales organization, there is a lot of cross training going on between the product, so we are trying to get the ISP people familiar with the LightPath core products and vice versa. The LightPath people more involved in the capabilities that ISP brings to us and so there is a lot of learning going on right now for that. And that's - the exposure has been we've kind of dumped all the information out there, we've gone through the number of times but that's a repetitive process and still people get really good at it, so it takes some time. So that also takes probably that's probably also six months plus work that's going on. Now obviously we try to - we are continuing the effort - the pressure is on right to continue to grow the business.
Unidentified Analyst: Yes, absolutely, and it sounds like they've got a heck of any opportunity there in front of them. Dorothy, you mentioned backlog down towards the quarter and we talked about that the new ones of the larger orders, which I guess from ISP and just sort of the way they are booked. You also mentioned the contract they came in and kind of after the quarter closed, so just wondering if we should expect to see that backlog recover and start to grow again sequentially here in the June quarter.
Jim Gaynor: Well, I would say the core business backlog did grow in the quarter. So we have a business came down with just as a result of the booking cycle in the interest side of the business. So it's mostly associated with ISP. So I think and that's been LightPath is evolving in its business. I mean, it has historically predominantly been in the order type, we take a order, we return it, there is a certain percentage of our business that we book in ship within a quarter and as we've gotten larger and we've involved in the business. We are now getting and still not that huge percentage but a bigger percentage of larger orders over lot their delivered over longer periods of time, so there is a shift in the way the backlog has been constructed historically versus what we are seeing today and so we are still trying to work our way through that, make sure we understand it and manage it properly. But this, the change in the backlog that we saw from last quarter to this quarter is entirely due to this large order that was booked in Q2 and now we are shipping off of it and that order should be removed you know, next year I mean again when we come to that cycle because it is a - in this schedule to be delivered over 12 months.
Unidentified Analyst: Got it. Okay. And just last thing from me, given your comments earlier in the concession one of the first questions asked about the sort of the china driven weakness that we are seeing elsewhere. It sounds like one thought as well it just doesn't hit like that yet and maybe there is a delay here, but it sounds like from in your order book in the commentary that and the physical you have within the backlog that you don't really expect that.
Jim Gaynor: I come, so I come from a telecom background prior to LightPath and I'm very aware of the variety in the cycle that that business segment goes through. We just haven't seen the weakness show up yet. We keep looking for it because, you've been around as long as I have in that business you know the cycle pretty well, it's long in the two by historical standard but the difference this time is the catalyst that are driving that business are multiple and the things driving those things is ever in satiable demand for expanding bandwidth continues. And now as I said this neither desire to put up video and as oppose to just typing letters and texting and that kind of stuff, that's the reason that Microsoft brought with an Instagram and SnapChat all these companies are getting bought by this big service providers because of that trend and it's a driver or bandwidth I mean it's -- I don't - I saw something it said it's the almost a 100 fold increase to put that video out there as if in bandwidth requirements compared to text. So it's a huge driver and I don't think it's fully hit yet, so that just becomes another catalyst on top of the three major ones that are continuing. So I think that the telecom business has some link to it and we certainly have not seen it. Now the other side of that is it could be the customer base that we are involved in, which is a very high-end customer base, I mean it's always the momentums, the [indiscernible], the neo-photonics those are all pretty good well established equipment suppliers into that space and so they are going to maintain their business you know it's for the longest and so I think we are well positioned from that standpoint. So it's something that we worry about, but so far from a standpoint of how we look at our forecast of what we expect to be happening and we have not seen any sign of weakness.
Unidentified Analyst: Got it. Well, great to hear and I appreciate all the color. Good luck with [indiscernible] organization.
Jim Gaynor: Thank you very much.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Gaynor for closing remarks.
Jim Gaynor: Thank you. In conclusion, we appreciate the support of our shareholders and the dedication of our global and expanding team at LightPath. With our strength and presence around the world, we remained focus on our efforts to drive consolidated revenue growth and profitability, which benefits from the leverage in our business. Thanks again for participating on today's conference call and we look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.